Operator: Good afternoon, everyone and thank you for participating in today’s conference call to discuss Iteris’ Financial Results for its fiscal first quarter ended June 30, 2012. Joining us today are Iteris’ President and CEO, Mr. Abbas Mohaddes and the company’s CFO, Jim Miele. Following their remarks, we’ll open the call for your questions.
 Before we continue, we would like to remind all participants that during the course of this call, we may make forward-looking statements regarding future events or the future performance of the company, which are based on current information are subject to change and are not guarantees of future performance. Iteris does not undertake any obligation to provide updates to these forward-looking statements in the future.
 Actual results may differ substantially from what is discussed today. And no one should assume that at a later date, the company’s comments from today will still be valid. Iteris refers you to the documents that the company files from time-to-time with the SEC. Specifically, the company’s most recent Forms 10-K, 10-Q and 8-K, which contain and identify important risk factors that could cause actual results to differ materially from those that are contained in any of the forward-looking statements. I would like to remind everyone that a webcast replay of today’s call will be available via the Investors section of the company’s website at www.iteris.com.
 Now, I would like to turn the call over to Mr. Mohaddes. 
Abbas Mohaddes: Thank you, Alicia, and good afternoon everyone. As you saw at the close of the market today, we issued a press release announcing financial results for our fiscal first quarter ended June 30, 2012.
 The momentum we established in fiscal 2012 has carried into the first quarter of 2013 as demonstrated by year-over-year, double-digit revenue growth and continued sequential growth. In fact, the first quarter’s results represent our fifth quarter of sequential revenue growth and the fourth consecutive quarter of double-digit, year-over-year revenue growth. These results support our belief that we are focusing on the right segments within the intelligent plastic management market and our strategy to address these fast growing segments is sound. This belief was further supported by our signing of $10.7 million in contract awards during the quarter, increasing our total contract backlog to $33.4 million as of June 30, 2012.
 Additionally, our operating income improved, both year-over-year and sequentially. But before I comment further I would like to turn the call over to our CFO, Jim Miele who will take us through the details of our financial results for the quarter and full year. Afterwards, I’ll return to discuss some more of the highlights for the quarter and how we plan to build shareholder value as we move through fiscal 2013 and beyond. Finally, we will open the call for your questions. 
James Miele: Hey, thank you Abbas and good afternoon everyone and thanks again for joining us. For the first quarter ended June 30, 2012, as noted in the release, total revenues increased 17% to $16.3 million. This was compared to $13.9 million in the year ago quarter. Please note that our prior year results have been restated to reflect the divestiture of the vehicle sensors segment in July 2011.
 The increase in total revenues was primarily attributed to a 19% increase in Transportation Systems contract revenues, and to a lesser extent, a 4% increase in Roadway Sensors revenues. Organically, the businesses grew 12%. With the acquisition of Berkeley accounted for another 5% of our total year-over-year increase. As there are different characteristics affecting each of our revenue streams in various attributes reflecting our financial results, Abbas will provide more detail regarding net sales contract revenues later in his comments.
 Gross margin in the first quarter was 38.4% or $6.3 million compared to 44.2% or $5.9 million in the year ago quarter. Gross margin in the first quarter was again primarily impacted by a shift in mix towards Transportation Systems contract revenues. And these typically provide a lower margin than our product revenues.
 Operating expenses decreased 4% to $5.4 million compared to $5.6 million in the year ago quarter. The current quarter results include a $334,000 gain as a result of changes in the fair value of contingent consideration, recorded in connection with the acquisitions of Berkeley Transportation Systems and Meridian Environmental Technologies.
 Our operating income in the first quarter improved to $903,000 from $298,000 in the year ago quarter, while net income increased to $676,000 or $0.02 a share, improving significantly compared to net income of $97,000 or 0 pennies per share in the year ago quarter. We repurchased approximately 308,000 shares of our common stock in the first fiscal quarter bringing the total 882,000 shares repurchased under the $3 million program, since it was initiated in August 2011.
 As of June 30, 2012, we spent approximately $1.2 million on the repurchase program. Cash totaled $18.5 million at June 30, 2012 compared to $18.7 million at the end of our fiscal year in March. The slight decrease was primarily due to the elimination of our remaining $634,000 of term debt. And additionally, we have not yet drawn our $12 million line of credit with our senior lender. As Abbas stated, contract backlog at the end of the first quarter was $33.4 million and this included Meridian backlog of $3.7 million and Berkley backlog of $2.5 million. And in total, this compares favorably to $31.8 million in the previous quarter.
 This concludes my prepared remarks on the financials. And now, I’d like to turn the call back over to Abbas who will discuss the quarter as well as our strategy in greater detail. Abbas? 
Abbas Mohaddes: Thanks, Jim. As I indicated in my opening remarks, our first fiscal quarter certainly continued the momentum we saw at the end of fiscal 2012. We are setting [ph] back on 2012, which was the year of significant change and repositioning, we have executed on their strategic plans we laid out. As we stand today, we believe our company is solidly positioned to go after the intelligent traffic management market. This plan has begun to show traction as demonstrated by our healthy top line growth. We attribute these results largely to our focus on specific segments within this market that we believe are growing much faster than the traffic industry as a whole.
 These include Travel Information 511 and performance measurement and management, both of which involved the application of technology to deliver intelligent, actionable traffic information to traffic management operators and the traveling public. Our penetration of these markets combined with our already established and growing consulting services and Roadway Sensor products should continue to transform Iteris into an intelligent traffic management market leader.
 Now, as I am sure most of you have heard, Congress passed the new Federal Highway Bill in early July providing an estimated $105 billion in federal funding for highway, transit, safety, and related transportation programs through September 2014. We are encouraged and enthusiastic about the new legislation as it directly references ITS-related activities significantly more compared to the prior bill. In fact, performance measurement is specifically discussed. As such, their funding enables government agencies to include ITS technologies in infrastructure projects in order to enhance the traffic management systems.
 Our interpretation of the bill is that its state and local agencies are expected to be able to streamline some of the traditional procedures and implement projects expeditiously. In addition, the application and use of ITS technologies is expected to be eligible for many of the infrastructure improvements. Naturally, we anticipate this will directly benefit Iteris both in services and products. And we expect to begin generating revenues from related projects within the next few quarters. With our acquisition of MET, we have made substantial progress in Traveler Information 511. Our 511 technology provides real-time traffic information systems that help commuters take optimal routes. We believe we are now a market leader in Traveler Information on 511 offerings with 9 states and 5 metros using our proprietary and actionable traffic intelligence.
 During the quarter, we launched one of the nation’s most advanced 511 systems for the Commonwealth of Virginia, where we have developed applications that are expected to provide accurate and reliable traffic information as well as a streaming video of traffic conditions. This contract with Virginia now goes into maintenance phase for up to 8 years and is estimated to generate revenues of about $2 million annually. We expect several more awards as we continue to pursue similar programs in other states. We also deployed a 511 website for Kern County, a web-based Traveler Information System for Santa Barbara County and transitioned the Inland Empire 511 systems to a new high reliability, Iteris telephone systems, all these 3 projects are in California.
 As for our newly formed performance measurement and management segment, we recently announced the appointment of Tom Blair, an experienced software industry veteran to assume the new position of Senior Vice President of this group, which we will be calling iPerform. Tom has a wealth of experience in building and growing software products and organizations, most recently serving as General Manager for Trimble Navigation, a NASDAQ-listed company that provides integrated positioning wireless and software technology solutions. In addition to Tom, we have also hired key software and system architects. The group has the focus on cloud-based and on-premise analytics solutions, and in the second fiscal quarter of 2013, we anticipate launching IterisPeMS, which is a state-of-the-art software solution that fuses large amounts of data to provide world-class traffic analytics, prediction, and visualization solutions.
 This product creates real-time actionable traffic information that should empower agencies to improve the transportation network performance. We see a burgeoning market developing for performance-based software solutions like IterisPeMS, and with the leadership of Tom and his team, we believe we are positioned at the forefront of the Springfield [ph] opportunity. In fact, beginning this quarter, we have instituted segment reporting for this group, including the operating results of BTS and our prior internal activities and underscoring the opportunity, and especially, the expected higher margin structure with compared to our base business.
 In the past several quarters, the operating results of iPerform segment were categorized within Transportation Systems. We expect to continue investing in this segment, particularly in R&D and sales and marketing. We recently kicked off an extensive marketing campaign that includes visiting 100 perspective customers within the next 90 days. We expect to see initial software revenues from this initiative in fiscal Q3 and expanding in Q4 and plan to provide software-as-a-service, as well as traditional licensing models for IterisPeMS.
 We expect this market to significantly expand for the next 5 years and believe we possess the technology and relationships to be a leader in this segment. Our bullish view stems from the government's increased emphasis on accountability in transportation infrastructure expenditures. This fact was further substantiated in the new Highway Bill, the United States Department of Transportation as well as the state DOT’s are expected to use performance measures as a funding gate for agencies.
 Our Roadway Sensors revenues increased 4% over the same quarter last year. Weaker than expected growth in the international sales impacted our overall growth in this segment. Internationally, we plan to focus on distribution channel expansion and expect to continue to refine the products that address these markets, notably our Abacus and Pico products. We plan to consistently push ourselves to meet the challenges of the evolving traffic market and expect Vector to be a very powerful and cost effective solution for many special applications and adaptive traffic control systems.
 Since its first shipment just a few months ago, we have been very pleased with its market acceptance. Our Wide Dynamic Range cameras have become our top selling cameras as end users increasing to see the image quality and system performance benefits offered by this product. We ended the quarter with a strong backlog of over $3.1 million in Roadway Sensors and expect the business to resume growth as we continue our channel building and product development efforts.
 In Transportation Systems sales increased 19% over the prior year quarter, which in part was due to several significant project wins. And we signed $10.7 million in new contracts awards during the fiscal quarter, expanding our overall backlog to $33.4 million as of end of June 2012. I would like to briefly comment on Transportation Systems as well as the overall Iteris gross margin. Historically, Transportation Systems gross margin has been in the low to mid-30% range. Sub-consultants have historically accounted for approximately 10% to 15% of contract revenues and normally provide only a 5% to 10% margin.
 In the first quarter of this fiscal year our sub-consultant content increased beyond the normal range, which resulted in lower Transportation Systems margins. I don’t expect this to be a long-term trend, we do expect our overall margins to stabilize and the sub-consultant content as a percentage of revenue to decrease. In addition, we expect the margins on the traveler information contracts to improve as some of these contracts move into the maintenance phase.
 Finally we expect Iteris’ overall gross margin to gradually improve as we expand on our software based products as the service. Specifically Abacus software as well as IterisPeMS are expected to generate higher margins than we have historically enjoyed. Therefore going forward we anticipate an overall higher gross margin for the company as we gain traction with these products. We will also remain optimistic in our acquisition strategy and plan to continue to look to acquire companies like MET and BTS that either enhances our IP or position us in a new geographic location.
 As we move through fiscal 2013, we continue to believe we are in a strong position to sustain double-digit organic growth, supplemented by further penetration of technology-focused market segments. These high-growth segments should represent the perfect fit for our IP-centric, intelligent traffic management solutions.
 In summary, I'm very enthused about Iteris going forward, as we continue transitioning the company to provide actionable information for the intelligent traffic management market. We plan to continue to execute on the strategy in place to position the company to be the fastest growing segments of our industry. We plan to leverage our years of experience and expertise within our core products and services and believe they provide a solid platform to build upon. We plan to continue to invest in R&D, sales and marketing and acquisitions to accelerate growth and lead the fast growing intelligent traffic management information market.
 Our goal within the next couple of years is to position the company to enjoy 20% sustainable annual top line growth with operating margins of 10% to 15%. Overall, I am encouraged by the results of our operational and financial performance, the passage of the Federal Highway Bill and especially our progress in key growth areas of the market. These positive factors should fuel growth for Iteris through the fiscal year and beyond, while providing continued strong value creation for our shareholders.
 Now with that we’ll be the delighted to respond to your questions and comments. Alisha? 
Operator: [Operator Instructions] Our first question comes from the line of Jeff Van Sinderen with B. Riley. 
Jeff Van Sinderen: I was wondering if you can talk a little bit more about the main drivers of the systems business growth in the quarter and how much of that was organic in systems? 
Abbas Mohaddes: Sure. So the main drivers at the moment are primarily the traveler information systems that we have been growing by design, which have to do of course couple of years ago with initiation of acquisition of MBT and really integrating their systems with ours and going after various travel information and expanding that. In addition in Middle-East, we have been expanding and that was part of the driver. And overall we have focused in a more technology based activities that are more growing parts of our transportation systems components. This would have to do with system integration, application of technologies in transit activities and so on.
 As far as the magnitude of organic the majority were organic I would say over 12% were organic and the remaining was the acquisition of BTS because we didn’t have them with us a year ago. 
Jeff Van Sinderen: Okay, got it. And then relevant to the new highway bill, can you talk a little bit more about I guess what your longer term expectations are. I know it takes a while for that to start getting reflected in your revenues when - maybe when should we actually start to see contract wins associated with the new bill, is it 2 quarters out, is it 3 quarters out? Any color or flavor you can give us that will be helpful? 
Abbas Mohaddes: Sure, I’ll be happy to. So, a couple of comments along those lines, first of all when we compared this specific bill that it’s a predecessors, the bill is primarily designed around the infrastructure improvements and transit improvements. In the previous bills they used an application of technology in those infrastructure programs were relatively minimal. In the new bill we expect that the magnitude of the funding would be several times of that of the prior bills related to application of technology in transportation.
 The last couple of times - it took a couple of quarters before the funds started rolling into the states and we benefited from that. And we believe that a couple of quarters is a good estimate. I should point out however though, this particular bill is favorably designed in such a way that there will be less red tape and the Federal government is expected to pass on the funds directly to a state very quickly, much more expeditiously as they have in the prior bills. And in that way the states and local agencies would have a little bit more autonomy in the expenditure and perhaps the timing of that. So, I’m optimistic about the direct benefit of the financial fall outs of this program within a couple of quarters. 
Jeff Van Sinderen: Okay good. And then just sort of a housekeeping question I didn’t see the gross margin by segment for the quarter, is that something you can share with us? 
Abbas Mohaddes: Sure we have included it in the release and I’ll just let Jim be specific about those. 
James Miele: Yeah generally the gross margins for the Roadway Sensors business are still in the 50% range. The systems margins as Abbas sort of stated in his comments are less than our historical 30% to 35%, but still in the high 20% range and for the reasons that Abbas commented earlier, we expect those going forward to stabilize and increase.
 The iPerform margin for that segment is similar and a little bit better than the transportation business. 
Abbas Mohaddes: And just to append that Mr. Van Sinderen, I would be disappointed if in the upcoming quarters we couldn’t gradually improve upon the margins. Particularly as we gain traction in our software base products as I indicated IterisPeMS and Abacus. I would anticipate that the margins gradually to expand, of course for them and have a positive impact as a blend for the overall Iteris. 
Jeff Van Sinderen: Okay and how long do you think it will take to get to start really gaining traction where we’ll start to see that reflected in the P&L and PeMS and Abacus? 
Abbas Mohaddes: We are probably again to see a material impact probably 2 or 3 quarters will be estimate at the moment. 
Operator: [Operator Instructions] And our next question comes from the line of Nick Halen with Sidoti & Company. 
Nick Halen: So, I apologize if I missed it, but in terms of the 4% revenue growth that you saw in the Roadway Sensors business, do you have the breakdown what that was domestic versus international? 
Abbas Mohaddes: Yeah, I'm glad that you actually ask that. We were quite light in our international, in fact year-over-year we did not top the international, so it was all domestic in that 4%. In fact we would have been able to do the magnitude that we did a year ago internationally, we probably would have been able to reach a double-digit growth. So, international is a much smaller component of our business at the moment. We are expanding on it, we are investing on it, so it is a bit choppy and I expect that as we go forward it gets stabilized as we get a little bit more traction on that. 
Nick Halen: Okay, just in terms of the Highway bill I know there is obviously a lot of moving parts and it’s brand new right now. But I'm wondering which segment within your business you’re expecting to benefit the most I mean is it mainly the transportation systems and performance based software, I mean is that kind of where you’re seeing a lot of the growth opportunities? 
Abbas Mohaddes: Yeah, Mr. Halen, so all 3 of our segments the Transportation Systems, the Roadway Sensors and iPerform are expected to directly benefit from the bill and as follows. There is going to be as we expect a tremendous amount of construction and every time you have construction you need some planning, you need some design and then you need some construction that would require some intersection improvement typically that would need some detection. So we provided in the earlier discussion, the planning and design and then we get to provide some products in the way of detection. And that we also get engaged in system integration. So, that’s one significant magnitude.
 Also the bill has quite a bit of transit component. Roughly, let’s say 20% of the bill is in transit, which is another component of our work. And we do application of technology in transit in the way of transit priority. What’s [ph] up the transit activities, these are specific technical activities within that segment. So, we also have those offerings and we should benefit from that.
 And finally, the performance measurement and management has been addressed in the bill significantly and that is in fact the newly established group that we call iPerform that would be addressing that. Now we saw this a couple of years ahead of time that this is coming, so we really got behind it and we have positioned the company as the funds come through we are ready to go and provide our services.
 It’s clearly a positive things for us overall. 
Nick Halen: Absolutely. And then just last one from me, in terms of 511 business, I know several states are coming up for bid in the next few years. I was kind of wondering how you guys right now really compete in that space. I mean is it just the technology that you have superior to your competitors or I mean is that based largely on pricing and also if you were to win some new business will kind of incremental costs would you guys have incur? 
Abbas Mohaddes: Yes, so 3 or 4 years ago we were probably number 3, number 4 as an Iteris in a market. Meridian was probably number 3, number 4. As we have joined forces, we are considered market leader. And we combined and integrated our technologies, so we compete very well over the last 1.5 years that we have joined forces. We have received several awards and we compete very well in that market. And you are absolutely correct that there will be several of this 511 contracts coming up and we are gearing up to address source and propose on those. And at the moment we’re quite fortunate that we are really maintaining 9 states plus 5 metros that we are working on. So, we have quite a bit of expertise, experience, and leverage in our joint integrated technologies to be able to offer our customers an attractive value proposition in 511. 
Operator: Our next question comes from the line of Mark Lanier with Pegasus Capital. 
Mark Lanier: My question bears on Europe and what percentage of the business that is represented, and help us get a flavor of what the tone of that business is now and going forward? 
Abbas Mohaddes: Yes, thank you, Mr. Lanier. So, the European business for us at the moment is rather minimal for various reasons, including market saturation. What the focus internationally is primarily Latin America and Middle East and to some lesser extent that China as we have had some legacy activities. In Latin America, at the moment primarily we are focusing on our Roadway Sensors products in Middle East. Both Transportation Systems, consulting, software offerings as well as our Roadway Sensors. At the moment, 90 plus percent of our business is in North America and our plan is to expand our international. We are investing quite a bit, both in R&D to make sure that we have the proper standards and the type of products best suited for international market and of course sales and marketing. I would expect that within the next 2 to 3 years, our share of the international market as a percentage of sales, to be closer to 15% to 20% of our overall revenue. I hope that helps. 
Operator: Thank you. And ladies and gentlemen, at this time this concludes our question-and-answer session. I would like to turn the conference back to Mr. Mohaddes for his closing remarks. 
Abbas Mohaddes: Thank you, Alicia. We appreciate everyone’s support and thoughtful questions and we look forward to updating you again on our continued progress. 
Operator: Ladies and gentlemen, this concludes our conference today. Thank you for joining in our presentation. You may now disconnect.